Operator: Ladies and gentlemen, thank you for standing by. My name is Colby, and I will be your conference operator today. At this time, I would like to welcome you to the Q3 2025 CSX Corporation Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. If you would like to ask a question at that time, Thank you. I would like to turn the conference over to Matthew Korn, Head of Investor Relations and Strategy. Please go ahead.
Matthew James Korn: Thank you, Colby. Good afternoon, everyone. We are very pleased to have you join our third quarter earnings call. Joining me from the CSX leadership team are Steve Angel, President and Chief Executive Officer; Mike Cory, EVP and Chief Operating Officer; Kevin Boone, EVP and Chief Commercial Officer; Sean Pelkey, EVP and Chief Financial Officer. And the presentation that accompanies this call, which is available on our website, you will find slides with our forward-looking and non-GAAP disclosures. We encourage you to review them. With that, I am very happy to turn the call over to Mr. Steve Angel.
Steve Angel: Thank you, Matthew. Hello, everyone. We are happy to have you join our third quarter calls today. First, I want to recognize Joe Hinrichs. He led this company through some difficult times and worked with this leadership team to make some real progress. Now we are all eager to move forward from a solid position. My connection to this industry goes way back. My career started at GE where I worked directly with locomotives and rail operations. That experience gave me a deep appreciation for railroading that has stayed with me. I spent the last couple of decades leading large industrial companies, specifically industrial gas companies, but the interest in rail never faded. There are some similarities between the industrial gas business and the railroad industry. First of all, safety. It is not just a nice thing to do; it is a sacred responsibility. Everyone must come home safe at the end of each and every workday. Industrial gas and railroads are both capital-intensive businesses. Our strategy at Linde was to build network density in targeted geographies. That is how you leverage your infrastructure to generate ever higher returns on capital. That concept applies to the railroad industry as well. I think of pipelines and railway track the same way. He who owned the pipelines, provided they were in the right locations, had a strong advantage over their competition. Same for railroad tracks. Another similarity is our vision. At Linde, our vision is to be the best performing industrial gas company in the world. And we achieved that, in some cases, by a large margin over the next best competitor. At CSX, the vision is to be the best performing railroad in North America. I like that. And when we say best performing, I am certainly talking about financial performance, operating margins, return on capital, cash flow, but I am also talking about safety, customer service, employee engagement, integrity, and ethics. And I do not see any of these as being mutually exclusive. You can be best in class in all these areas. In every important aspect of running a great railroad company. How do you do it? It takes a concerted effort. Sounds trite, but you have to make the most important things the most important things. Focus, execute, grind the details, repeat. Build a strong stable foundation and get better every day. In essence, you build a disciplined, high-performance culture. And you build a talent pipeline that will sustain the culture long after you are gone. That is enough about me. I will turn it over to Mike.
Michael A. Cory: Thank you, Steve, and thanks to everyone for joining us today. First, I want to recognize the very good work of our teams across the network. Their dedication and their execution have really led us to deliver one of our strongest operational performances in recent years. And we are building on that great service cost momentum from last quarter, and it is really paying off. We are seeing improvements across the board, but it is really exciting to see the railroad become more efficient and even more responsive to our customers' needs, especially given the current market conditions. You can turn to the next slide. As Steve noted, safety is our largest shared responsibility. Our FRA personal injury frequency rate ticked up slightly from last quarter, but the bigger picture is very positive. Through September, we have seen a solid reduction in moderate and severe injuries with fewer cases requiring employees to miss work. This shows our SafeCSX program is working. Our culture is shifting to be more proactive, data-driven, and safety-focused in daily operations. On the train accident front, this quarter was the best since 2023. Human factor accidents are down 16% year to date thanks to targeted efforts, better training, and smarter tools that help our people make safer decisions. Next slide. Now let's take a look at the operational performance. This was our fastest quarter for train velocity since early 2021. For all time hit its lowest point since mid-2023, and average daily cars online were the lowest since 2020. That shows how disciplined the team has been in running a balanced, efficient network even while major construction continued on the Howard Street Tunnel and Blue Ridge Subdivision. Trip plan compliance continued to improve, Intermodal TPC rose to 93% from 90%, and carload TPC climbed to 83% from 75%. These are strong gains, a result of fluidity of the network. Next slide. I am proud of how this team has kept momentum on improving asset utilization. With market changes and mix shifts, our ability to be efficient and nimble is extremely important and was evident last quarter. Through disciplined cost asset and cost management, we reduced train miles and optimized horsepower utilization. Running efficiently without impacting customers. These improvements show up in our solid fuel productivity and horsepower management. Car miles per day also improved, reflecting both faster train velocity and our unwavering focus on yurt operations. Let's go to the next slide. And finally, I want to highlight two major wins for us. The Howard Street Tunnel and the Blue Ridge subdivision projects. Both were extremely complex efforts and finished slightly ahead of schedule. A tremendous accomplishment. And I want to give a big thank you to everyone on our team who was involved to make that happen. With these projects complete, we now have full network access. Positioning us for greater capacity and resiliency as we go forward. In closing, I could not be prouder of the team. The momentum this quarter is real and we are going to keep it going. We are not done improving, innovating, or delivering for our customers and shareholders and each other. With that, I will hand it over to Kevin.
Kevin S. Boone: All right. Thank you, Mike. As Mike just mentioned, we are excited that both the Howard Street Tunnel and Blue Ridge projects are complete. As we move forward, customers will see benefits from reduced outer route miles that will improve on our best-in-class service levels. Starting in 2026, we will begin to capitalize on double stack clearance through Baltimore that will expand our intermodal service offerings into the Northeast Region. Looking across the markets we serve, business conditions are mixed. Customers face uncertainty and headwinds from shifting trade policies, weak global commodity prices, unsupportive interest rates, and a persistently soft trucking market. Now let's turn to merchandise revenue on Slide eight. Revenue and volume were down 1%. With RPU flat as core pricing gains were offset by lower fuel surcharge and unfavorable mix. On the positive side, Minerals volume and revenue were up 812% respectively. The team continues to capitalize on strong demand in aggregates and cement by leveraging our unique footprint into the Southeastern market. Fertilizer volume rebounded due to improved production at a key phosphate producer which helped drive 7% growth in the quarter. Metals and equipment volume was up 5% driven by increased wallet share combined with new capacity on our network. Increased automotive production drove 1% higher volume and moving forward production levels are expected to remain relatively steady through year-end with minimal anticipated impacts from the aluminum supply challenges. Broader market softness and tariffs continue to impact our forest product and chemical markets. Where we have some customers that have rationalized production for both volume was down 7% compared to the prior year. A positive core pricing has mitigated revenue declines. Ag and food volume was down 7% as a strong Southeastern crop has provided feed buyers a robust local supply. We have also seen increased competitiveness in the ethanol and weakness in certain food and consumer products. In the fourth quarter, we expect a stronger export market and improving domestic grain trends from the Midwest harvest. Now let's turn to Slide nine to review the coal business. Coal revenue declined 11% for the quarter on 3% lower total volume. All in coal RPU declined 9% year over year, but as shown on the slide, the headwind from export benchmark pricing continues to diminish as we move into the fourth quarter. Export tonnage was down 11% largely due to reduced production associated with mine fires we had noted earlier in the year. But recent trends have been encouraging. Our operational performance has been very strong and we are pleased with the recent reopening of a key export mine. Our domestic coal business continues to see steady trends through the year. Steel industrial tonnage was down 15% year over year due to softer market fundamentals and reduced domestic steel production. On the other hand, utility coal performed well over the quarter with tonnage up 22% year over year. Power demand remains supportive helped by higher natural gas prices. Turning to slide 10, Intermodal performed well despite a soft trucking market and muted pricing. Third quarter revenue was up 4% a 5% increase in volume. Our international business benefited from strong growth with key customers. Tariff impacts and general consumer demand remain watch items. Volumes have softened in recent weeks looks largely in line with typical seasonality. Domestic volumes grew modestly year over year, primarily due to new service offerings. Following a successful bidding season for our IMCs Strong East eastbound volumes we expect continued strength in our domestic business in the near term. As we look ahead to the end of the year, and start of 2026, we are excited about the opportunities to leverage the strength of our network performance. Win in the marketplace and find ways to create and creatively convert more business to the railroad. Now let me turn it over to Sean to discuss the financial.
Sean R. Pelkey: Thank you, Kevin, and good afternoon. Third quarter reported operating income was $1.1 billion and earnings per share was $0.37. These figures include $164 million and $0.07 per share from impairment of the remaining goodwill related to quality carriers. I will now speak to adjusted third quarter income statement excluding the goodwill impairment charge. Revenue was lower by about $30 million or 1% as 1% volume growth and an increase in other revenue were offset by headwinds from unfavorable mix in coal pricing. Adjusted expenses increased by 3% and I will discuss the details on the slide. Interest and other expense was $19 million higher compared to the prior year while income tax expense fell by $46 million on lower pretax earnings and a lower effective rate that was driven by renewable energy and state tax credits. As a result, earnings per share fell by $0.02 reflecting a combined $0.02 of discrete unfavorable impacts. $35 million of restructuring, severance and regulatory advisory expenses, and approximately $25 million of network disruption costs related to the recently completed Blue Ridge and Howard Street projects. CSX is well positioned and building momentum. Year over year headwinds eased into the fourth quarter and strong operational execution and cost control provide a positive setup for improved results. Let's now turn to the next slide for a closer look at expenses. The total expense variance includes the $164 million charge based on impairment testing completed during the quarter. Despite the difficult trucking market, quality carriers has helped drive truck to rail conversions, maintained industry leading share and stable pricing across its end markets. We are working closely with the QC team to aggressively identify additional efficiency opportunities that will support an improvement in near term financial results while still positioning quality carriers to fully capture the upside when the trucking market recovers. Expenses excluding the impairment increased by $71 million or 3%. Including approximately $60 million of severance network disruption and other costs noted on the prior slide. This expense management reflects solid fundamentals and disciplined execution delivering increased volume with a lower rail headcount. And year over year efficiency savings across the expense base. Turning to the individual expense line items, Labor and fringe was up $9 million year over year including $22 million of management and executive severance. These costs plus the impact of inflation were mostly offset by lower incentive compensation and efficiency savings. Reflecting lower rail headcount and network driven improvements in T and E overtime and ancillary costs. Headcount will hold stable to slightly lower sequentially in the fourth quarter while cost per employee will see a normal seasonal increase as the benefit of lapping restructuring and severance costs will be at least partially offset by higher incentive compensation expense. Purchase services and other costs increased $54 million year over year. This was driven by cycling a prior year favorable inventory adjustment as well as network disruption costs this year trucking casualty and freight damage claims and inflation, plus $13 million of restructuring and advisory costs slightly offset by higher property gains. Importantly, the team delivered significant PS and O efficiency savings which were broad based. Continued execution and the easing of network disruption costs will help partially offset the normal sequential increase in PS and O in the fourth quarter despite $5 million to $10 million in regulatory advisory costs. Depreciation was up $8 million due to a larger asset base. Fuel cost was up $5 million driven by additional consumption due to network reroutes, and a slightly higher price per gallon. Partly offset by improvement in gallons per gross ton mile. Finally, equipment and rents decreased by $5 million year over year higher costs from inflation, and the negative impact of reroutes on car cycle times offset by savings from improved fluidity and increased income generated from company owned real estate. We are encouraged by the structural cost improvement the team delivered in the third quarter. These efforts position us well build upon strong resource utilization, identify additional efficiency opportunities. Now turning to cash flow and distributions on slide 14. Targeted and efficient investment in the safety, reliability and long term growth of our railroad is our highest priority use of capital. Copy additions are higher year to date including $440 million of spending towards the rebuild project on our Blue Ridge subdivision. In total, spending to rebuild the Blue Ridge is now expected to exceed $500 million before insurance recoveries. Year to date free cash flow is $1.1 billion which includes over $850 million of cash outflows for Blue Ridge and previously postponed tax payments. Lastly, CSX remains committed to shareholder distributions, and has returned over $2 billion year to date. Now for a review of our guidance. Given solid network momentum, new business wins and expanded service offerings, we still expect to deliver volume growth for the full year. Recall that our fourth quarter performance in 2024 last fall's major hurricanes. We expect our fourth quarter results to reflect the strong operating performance and cost efficiencies that we driven through the year. There is no change to our full year CapEx guidance of $2.5 billion excluding the Blue Ridge. Finally, expect to continue our demonstrated long term track record of powerful cash generation. Combined with a strong investment grade credit rating that enables value creation through the opportunistic use of share repurchases. While also annually reviewing the dividend with steady increases for over twenty years. With that, let me turn it back to Steve for his closing remarks.
Steve Angel: We are encouraged by the progress made this quarter. Our team did a great job at working together and responding effectively to the test faced earlier in the year. The railroad is running well, and we have strong foundation to drive further improvements. While the underlying economy is mixed, our customer service is strong, and we have excellent relationships with those customers. We are working closely with numerous partners to help accelerate the build out of industrial capacity on our network. Our commercial team is actively developing new solutions that will help us expand our reach and gain share. We have received quite a few inquiries on strategic opportunities. We will of course pursue anything we believe can create compelling value for our shareholders. We are confident in our path forward and energized by our vision. To be the best performing railroad in North America. With that, Matthew, we will open it up for questions.
Matthew James Korn: Thank you, Steve. We will now proceed with the question and answer session. To ensure that we maximize everyone's opportunity to participate, we ask that you please limit yourselves to one and only one question. Colby?
Operator: Are ready to begin.
Operator: Thank you. We will now begin the Q and A session. Your first question comes from the line of Brian Ossenbeck from JPMorgan. Your line is open.
Brian Patrick Ossenbeck: Hey, good afternoon. Thanks for taking the question. So Steve, maybe to start off with the obvious one, you have been through industry before that had complex M and A. As you mentioned, there are some similarities there to railroads. So stepping into the role, realizing you have only been there for a couple of weeks, how do you believe the company's positioned versus your peers, obviously, pursuing a TransCon merger? Do you feel like that is part of the mandate in terms of why you are brought into this position? The first place? Was that something that interested you? Given your prior history?
Steve Angel: Yes, thank you for that question. So if you you know, you alluded to my history. And if you go back and look, I ran Praxair for ten years. Before we concluded a merger with Linde AG. And so you could say I was very patient. But, you know, the way these things work, these strategic opportunities, you have got to wait the right timing. You have got to wait for when the conditions are right. So what you do in the interim, you run the company to the best of your ability every day, and you create value that way. And so, you know, if and when that time comes, you are going into that discussion from a position of strength. So that is really how I think about it. You have got to run you know, the franchise you have to the best of your ability, build value that way, keep your eyes open for strategic opportunities. And when they come, you put yourself in a good position to capitalize on it.
Operator: Your next question comes from the line of Stephanie Moore from Jefferies. Your line is open.
Stephanie Moore: Hi, good afternoon. Thank you. I wanted to touch on, as you think about two things that are happening, one is the completion of your large infrastructure projects, and then two is as obviously noted, some changes from a strategic standpoint in the industry. Maybe, Steve, if you wanted to talk about how you are positioning the company to essentially capitalize on both of those factors. One is directly in your control. And then the other might be in response to some of the actions of your peers. Thank you.
Sean R. Pelkey: You will take the first question. Yeah. Sure. Yeah. Stephanie, happy this is Sean. Happy to kind of talk a little bit about Blue Ridge and how Street. And I think, you know, obviously, that sets us up very well as we go into next year. The network recovered really well this year. It is operating, you know, about the best that it has in quite some time, which is great. And we are building cost momentum on top of that. Now you have got, both our North South routes that are open It will take us into Q2 next year before we get that double stack capacity. From Howard Street. But that is exciting because it means cost reduction. It also means ability to sell into that. So a well run, network hopefully going into a year next year where we start to see a little bit of momentum build really helps us out. I think that is something to build on longer term as well. And I will take the second part of the question. So as you think about what is taking place strategically, in this industry, you know, when you have know, the prospect for merger, whether it is this industry or or any industry, there are you know, pluses and minuses associated with it. There are risk and opportunities that come out of any type of consolidation within an industry. And so it really behooves us to you know, mitigate those risk and capitalize on those opportunities. I think you know, a lot of it remains to be seen. You know, I was you know, interesting enough, I was involved in the the industry though tangentially when the first merger that I remember took place, it was UP and SP think it was back in the late nineties. And, you know, that did not go so well. That did not go swimming. And I think a lot of what is taken place with the STB in terms of the new standards that are now in place with respect to what is in the public good demonstrating enhanced competitiveness and and what might take place downstream, that really came about as a result of that. So I think it is it is interesting to watch. Obviously, as they move forward with their application. And they have to demonstrate the standards that that need to be met, have an opportunity to review that. What you can rest assured is we are going to make sure that we are competitive no matter what. So I talked about mitigating risk, taking advantage of the opportunities, but we also want to make sure that we have a chance to present our case in terms of what we need to be competitive going forward. And that is what we will do.
Operator: Your next question comes from the line of Chris Wetherbee from Wells Fargo. Your line is open.
Christian F. Wetherbee: Hey, thanks. Good afternoon. I guess maybe a question for Steve and maybe Kevin. I am kind of curious as you guys go through this period, Steve, noted maybe some inbound strategic opportunities. I do not know if that is coming from the customer side or maybe other partners in the rail industry. But as you think maybe customer response to what is going on with consolidation in the industry, do think CSX is well positioned to take advantage of that as we go through a period of uncertainty over time? I guess how do you guys think strategically about the in front of you as a stand alone right now while we are seeing integration going on in the industry?
Steve Angel: Well, I mean, all starts with with you know, running this business to the best of our ability and that that positions us well from a customer service standpoint. Mike talked about the way the the railroad is running today and, you know, we feel very good about that going forward. Yes, I think there are some opportunities you could certainly say that maybe some of these opportunities are coming forward as a result of what might take place from a merger standpoint. But I think the opportunity set has always been there. For railroads to work more closely together to take trucks off the road. For example. And so we see those opportunities. We are working on those opportunities. You can look at our numbers and see we have already had some success. And I think that is definitely additive to our base case going forward, and and we will continue to pursue those opportunities.
Operator: Your next question comes from the line of Ken Hoexter from Bank of America. Your line is open.
Kenneth Scott Hoexter: Great. Good afternoon. It is Ken Hoexter from BofA. Steve, welcome. Congrats on the new role. It seems like service from Mike Cory's presentation is operating well. Sounds like things are progressing kind of actually very well given the improvements. Major costs are leaving the network as Sean detailed and maybe Sean can maybe detail the expenses where we are now, how quickly they leave But what do you look at and aim to do? It maybe is it selling quality to improve operation to improve? Is there something on operations that as you went through the the process, the interview process, that you were focusing on that was not right? Maybe talk to us about what at CSX you see that needs to be changed. Is it the culture? Operations? You know, what what are you brought in and what do you hope to?
Steve Angel: Well, think, as I said in my remarks, I think the team really responded well to some challenges during the course of the year. And I think you know, they turned into solid quarter. So you know, I always you know, when you come into a situation like this, and I talked a lot about you know, driving productivity, efficiency, best in class best operating margins, all of those things, you know, you do that by building a high performance culture. And but you have got to start with stability. And whether you are talking about operations, you are talking about the company, you you must be stable. Because if you are not, you are not going to have a chance to work on continuous improvement every day. So I I like what I have seen in the team and the performance with respect to that during the third quarter, but really during most of the year. I think that gives us a good foundation going forward. And from that, you it is really you know, working all the profitability levers efficiency, productivity, price yield, volume, did you get into capital efficiency and all of that? And it is just that is what running a business is all about. That is what excites me. And, it all starts with a solid foundation in a, you know, great company and a great industry, and it is about building a high performance culture and and becoming best in class.
Operator: Your next question comes from the line of Ari Rosa from Citigroup. Your line is open.
Ariel Luis Rosa: Thanks. And Steve, let me echo the congratulations on the new role. Just if I could ask a kind of two separate but related questions. So following on Ken's point, is there anything that you see kind of doing differently versus kind of what is already been in place? Because we understand the network has been running quite well. And then you know, in terms of the the opportunity to double stack and some of the opportunities that are opened up by the by the new projects. Could you speak to and may maybe there is actually a better question for Kevin. But how much opportunity there is there in in terms of actually filling that capacity given, you know, the the completion of these projects now? Thanks.
Kevin S. Boone: Yeah. Let me take the second one. You know, we have been talking about probably double stack. You know, we have people here that have been here for forty years about opening up the last of part of our network that needed that clearance for a long, long time. And so we are very excited about what that creates in terms of market access for us into the Northeast. And you will see us obviously start to market that during bid season. In the second quarter, start that service and we will grow into it. So it will not be an overnight you know, phenomenon, but, you know, we expect to work with customers, and they are very excited about what we can offer there. And then I will also add to Blue Ridge. You know, it is on us and it is on the sales team to to capitalize on, you know, that that route. And, there are opportunities in the works too that we are working on to continue to drive and obviously get a return on that reinvestment that we had to make. And with respect to your your first question, the way I would describe my priorities is drive best in class performance, And I talked about that and all that that entails. Build a high performance culture, develop a strong pipeline of talent, and then capitalize on strategic opportunities that can that can create compelling value for our shareholders. So that is my focus.
Operator: Your next question comes from the line of Jonathan Chappell from Evercore. Your line is open.
Jonathan B. Chappell: Thanks, Coley. Good afternoon, everyone. Sean, you cleared a lot of the disruption period. It seems like the costs are going to start to melt off really quickly now that these two big projects are done. Laid out a couple guideposts, so to speak, or, sorry, margin improvement year over year in 4Q and also EBIT growth next year with the absence of any type of volume Can you help us think about the exit rate some of these important cost line items starting in 4Q and going into 2026? You read that PS and O section, you are your release, and there is just, a litany of things that you cannot really tell if they are one time or not. So just any kind of help you can provide on the major cost line items for 4Q in addition to what you have already noted. How we think about then run rate into 2026?
Sean R. Pelkey: Yeah, Jonathan. Let me let me see what I can do there. In terms of Q3 to Q4, so the unique items in this quarter, had severance and restructuring costs. Of about $30 million You got the advisory cost of $5 million That $30 million is roughly $20 ish in labor roughly 10 in PS and O. Then you had the the ongoing cost from the network reroutes. And so on and so forth. That was 25 in the quarter. About half of that was in PS and O. We will have a little bit of that that lingers into fourth quarter, call it about $10 million with demobilization and sort of some final costs coming through there. So between that, you have got about sort of $45 million of sequential benefits that see from Q3 to Q4 I will note, you know, you saw the other revenue line that was strong this quarter. That probably normalizes back down to kind of 120 to 130. And then incentive comp will likely be a little bit higher, 10 to 20 higher in Q4. So that is how to think about the sequentials. Those items kind of net out when you pull it all together. But at the end of the day, I think underlying all that is strong cost momentum, and we are seeing in labor you know, with headcount down, volume up. We will see that likely continue into Q4. You are seeing PS and O efficiency. You saw strong gains in fuel efficiency. Car cycle times are better that is impacting rents. All of that provides a nice setup as we get into next year. And, you know, just to tie a bow on that, all of that network disruption and whatnot gives us about a $100 million out of the gates going into next year of costs that will not repeat.
Operator: Your next question comes from the line of Scott Group from Wolfe Research. Your line is open.
Scott H. Group: Hey, thanks. Afternoon. So Steve, you have said best in class multiple times. Today. And it sounds like in your mind that is inclusive of margins. I am not sure you are like ready to give like all the details yet, but just at a high level, like is when you sort of do your initial look, is this cost opportunity Can we get back to a better pricing algorithm? Or are you just thinking more of a volume growth and operating leverage kind of story? I just want to understand like your vision of how you get back to best in class.
Steve Angel: Well, I am still working on it. I have not got there yet. So but the way I would think about it, Scott, is you know, obviously, you know, price yield is a part of the equation. Volume growth is important to leverage our cost structure and the margins fall through more heavily as get especially as you get the right kind of volume through the system. I think again, the railroad is running well. And so with that as a basis, can really work on continuous improvement within the railroad system. I think that falls through And, you know, those are kind of the levers to profitability. And so that is I I really think in terms of improving operating margins year over year. And I think if you work all three of those levers, you are able to grow your margin some basis points. I have not put a number on it yet. But some basis points per year and you can get to you know, best in class. Or if you are not best in class, you are rivaling best in class. And so that that is really the objective.
Operator: Your next question comes from the line of Brandon Oglenski. From Barclays. Your line is open.
Brandon Oglenski: Hi, good afternoon, and welcome to Raready, Steve. I guess I was wondering if you could give us your initial impressions of the commercial strategy at CSX because if you have looked at recent history books for railroads, and we can generally see these carriers getting price. You can get some cost efficiencies. But I think what is proved elusive for a lot of CEOs and maybe your predecessor is really converting that highway to rail opportunity So what do you see, you know, as maybe potentially limiting volume for the group and how are you going to pursue that differently? Thank you.
Steve Angel: Well, I cannot say for sure how going to pursue it differently, but you know, there are some opportunities that are here with our other railroads working together to really take the friction out of the system. And you know, I think it is a fair question why it did not happen in the past I think there could be several reasons for that, but it does seem to be a concerted effort working with several of our partners to really take that truck volume off the highway and onto rail. And, you know, we are starting to see some of the benefits of that. I think if you look at the inner intermodal numbers this quarter, you know, it looks pretty good. And I think the projection going forward looks pretty positive. So I am, you know, I am optimistic based on what I have seen. I understand it really has not If you go back historically, we really have not had this level of cooperation as we are seeing today. I have seen a lot of people in this building that are from the other railroads, and I think we are clearly working together to make this So I I think there is reason for optimism.
Operator: Your next question comes from the line of Tom Wadewitz from UBS. Your line is open.
Thomas Richard Wadewitz: Yeah. So I guess, you know, Kevin, you are not getting as much airtime as you normally do, so maybe I will give you one. How do you think about markets and just kind of where you think they may go? I mean, you have got fairly considerable weakness chemicals, metals, forest products. Is there any kind of reason for optimism near term, any signs of improvement or or kind of things that you may be move beyond? And I guess as you look at it maybe into 2026, you think carload can kind of rebound? Or should we be thinking more about intermodal as the growth driver? Thank you.
Kevin S. Boone: Thanks Tom. I have gotten a little less airtime. But look, there is a I think, in my opening comments, you know, talked about a lot of it is a mixed bag. The has done an incredible job on the aggregate side and cement side and we are continuing to capitalize on our only our footprint but just some of the strategic things we are able to achieve over the last year, and that is really showing a lot of momentum. And I think that can continue. There is a lot of confidence there. We have had some unique items that have really impacted us this year. We have had a few closures on us that I mentioned pretty concentrated in the forest products area, everybody is familiar with some of the consolidation that is happened in that that market. But I do think that market with a little bit of bump from the economy could could come back, for us. I am not predicting that at this point, but you know, some of these markets that are very are very low in terms of a cycle where they are. Chemicals has been one of those that we have highlighted all year long that have faced a lot of pressure from tariffs and other things. And I think just more certainty around where everything, lands in terms of what the tariffs look like, what the new rules going forward will create some certainty around investments and other things that are that will be helpful to our business. You know, the metal side, the team has done a excellent job of going after some market opportunities with the EFs and and scrap. Opportunities there. So I think we are controlling what we can control. Some of these markets undoubtedly have been, hit over the last couple of years and we have been able to offset them. I think that one thing that is probably surprised us this year is some of the temporary closures. We have had a number of outages, temporary outages on our network, whether it is in the the coal side with two mines or on the chemical side, we have really faced faced some challenges. And the hope there is that we will see some better performance as we move into next year. So I am not not here to call the cycle. You know, we had a we had one of our customers obviously talk about trucking capacity starting to come out. That is good to hear. We will see if that materializes in the next year. That would be extremely helpful for a lot of our markets where we compete against truck. And we have been in probably the longest down cycle than all of us have seen in a long, long time. So you know, the domestic coal side, you know, that story, was a challenge a year or two ago, and, I think there is a lot more optimism on what we can do there. Terms of utilization on the plants we serve today. So a lot of great work by the team. Lot of strategic thinking. We will continue to lean into where we find opportunities and to, you know, Steve's point, we will we will continue to work with all of our partners to create opportunities. The good thing is, I think, overall, the rail industry is performing pretty well versus where we have been in the last few years and that gives us all the opportunity to lean into those opportunities to convert. Model share across the network.
Operator: Your next question comes from the line of Walter Spracklin from RBC Capital. Your line is open.
Walter Noel Spracklin: Yes. Walter Spracklin here. Thanks for taking my question. My question here is for Mike. Steve mentioned best in class, and Kevin indicated that some of the capacity improvements might take maybe in the midyear next year. But is it unreasonable to think that operations can perhaps reestablish and put the quicker than that? Would you say whether there is anything stopping you in getting continued improvement through fourth quarter? Perhaps be in a position to run the railroad at fairly optimal performance level from an operational standpoint through 2026.
Michael A. Cory: Thanks for the question, Walter. To get it to optimal, we are running very well right now. It is just go back. It is our fastest quarter for train velocity since 2021. Our cars online at the lowest in five years. Our dwell is down about as low as it is ever been. We expect improvement on each and every one of those. Now these projects are going to give us capacity, but really resiliency as well. You know, we suffered the first quarter with two of those two routes out and we may normally only handle 20% of our volume, but they could have handled about 40% at that time with what we were inflected with between Cincinnati and Birmingham. So our focus is always going to be to execute grind, sweep the corners, continue to improve on every one of those things, but it is it is all that together. So now Walter expect expect to continue to improve, like, you know, we we got still have weather coming up against this storm season is not over, and we have winter. But we learned a lot That capacity will essentially not just get its resiliency, but it gets us stable. That is where we have been this last two months. And as Steve said, that is the basis for us to improve on. So that is it.
Operator: Your next question comes from the line of Ravi Shanker from Morgan Stanley. Your line is open.
Ravi Shanker: Hey guys, thanks for the time. Just a clarification on earlier comment that you made in response to an M and A question. Did you say that you already seeing opportunities because of the merger? If you can clarify that or expand a little bit? And also how far in advance do customers think of their rail sourcing or rail versus truck ship or intra rail kind of share shift. Is that something that is kind of done pretty tactically on a year forward basis? Or is that something can be long term planning well? Thank you.
Kevin S. Boone: Yeah. I you know, in terms of know, what you have seen in the market, these are these are things that the team consistently has been working on for the last few years. I think some of them have materialized, obviously, in the short term, but we have a very strategic thinking team that had these ideas. I think some of them probably have not materialized because the industry had to get to a a place where we are thinking about growth. From an operation standpoint. A lot of struggles obviously through COVID and then you know, digging ourselves out of the hole with the workforce. And you know, I think this is a natural progression out of that that we are now as an industry leaning into that. And I think we have a team that is forward leaning on that and bringing ideas to the table. And really working with every partner that can benefit and grow the business for the CSX franchise. So a lot of opportunities there. I am trying to understand second question, but maybe I will I will pass on that one.
Operator: Your next question comes from the line of Richa Harnane from Deutsche Bank. Your line is open.
Richa Harnain: Hey, gentlemen. Thanks. I want to go back to your Investor Day some time ago. You shared some pretty exciting stats regarding you know, the growth outlook, particularly in intermodal. The ability to grow maybe above GDP. Just as we fast forward from then to today and considering how well your service metrics have improved despite some of the headwinds that you have undertaken and and all of that. I mean, how should we think about you know, those growth projections? I mean, could they be stronger? And I know, Kevin, you said that you are going to be selling, Howard Street Tunnel during this bid season. And potential to sell in Q2 of next year. But any inklings from customers as far as how they are feeling about that product and, again, that ability to sort of grow, stronger than maybe you thought. A a couple quarters ago?
Kevin S. Boone: Well, you know, we did lay some of the benefits that we expected to see from the Howard Street Tunnel in that presentation. So I think we are on track and now it is up to the team to deliver on that. In terms of, you know, we have a great service right now, and all all begins with the service team. And we are able to dynamically go after these opportunities as they come along. And we are always talking to customers about markets where they see the opportunity and we have one particular customer that is highlighted that within the East they see a huge conversion opportunity. And we are we are highly interested in that. We are highly, interested in working with everyone to convert that. Obviously, it is got to have a return. It is got to be attractive to all parties. Make the investments that might be required to go after it. But there is a lot of work being done. I think we have the best team up against it to understand where opportunities are and you are seeing a lot of momentum that is playing out in our weekly volumes.
Operator: Your next question comes from the line of Jason Sadeel from TD Cowen. Your line is open.
Jason H. Seidl: Steve, congratulations on the new role there. Definitely exciting for you. I am going to turn it back over to to give some time there to Kevin. Kevin, can you talk a little bit about the marketing agreement with the BNSF sort of how we should think about the build as you move through 2026? And then I guess are you guys looking to tie that freight up longer than the normal sort of one ish year on a domestic intermodal front in terms of contracts, given that you might have a competitor coming out after that? And I guess a follow-up on the coal. You mentioned, I think you have seen a little bit more positive. Is the positivity on the coal due to sort of increased demand for domestic coal and data centers? Or is it something else?
Kevin S. Boone: Alright. Let me handle the coal one first. You know, I think you have clearly seen a a shift in just the political environment the regulatory environment there. And I think that provides opportunities for better utilization in some of the, obviously, the utilities that we serve. You know, data center is a hot topic right now. Everywhere, and that is certainly one of the demand pulls on electricity demand right now. So we are very positive on that market. You know, weather does impact that one. So, you know, we always look for a cold winter in the South. That is that is always helpful. So normal weather is is a good thing, and we kind of that played out this year. And so we continue to work with the plants that we serve to advantage them in the market to take you know, more more capacity there. So a lot of success, a lot of good work by the team. To really go after that opportunity. The intermodal side, you know, again, know, some of the things that we have announced recently have been in the works for a long, long time. The team has been is constantly having discussions with partners how we can create the best in class service and more options for our customers to reach markets, in a more efficient way. And so I think that is an outcome of, you know, not not something that we recently started, but things that we started last year and that have really materialized here recently. We got a lot of other ideas. You know, we are continuing to work on those things. I think the velocity of those things maybe to Steve's point, and our ability to execute them quickly is maybe improved with basically the industry in a better position to you know, grow with the, you know, service, and and we lead the way. With our best in class service in the East. So you will continue to see things there are opportunities for us to go and capitalize on.
Operator: Your next question comes from the line of Jordan Alliger from Goldman Sachs. Line is open.
Jordan Alliger: Yeah. Hi. Afternoon. Hi, Steve. Just sort of curious, you know, I know you have only been in the seat for a couple weeks or so. I am sure well, I I would imagine, you know, some customers, maybe some larger customers have been you know, calling to say hello and and what have you. I am wondering given what is going on with U and P Norfolk Southern, any read from folks you might be speaking to externally in terms of giving you thoughts on what you know, what might be good from a competitive standpoint for you guys? Thanks.
Steve Angel: I would say, you know, since I have been here, we have not had that kind of discussion.
Operator: Your next question comes from the line of Jeffrey Kaufman. From Vertical Research. Your line is open.
Jeffrey Asher Kauffman: Thank you very much. Steve, welcome aboard. Best of luck to you. Figured I would ask a question to Sean here. Just based on the idea that you are not going to have the Blue Ridge expenditures year and you are not going to have these congestion costs and there are some things you are excited about, it looks like cash flow could double if the world goes right, maybe up 50% to 70% if it does not. Not that you have spent it before you earned it, but can you tell me about cash priorities for 2026? Are there projects that you have not been able to get to that are at the top of the list? Do you want to bring debt down to a certain level? Or would more of that free cash flow probably be aimed at shareholder capital return?
Sean R. Pelkey: Jeff, I appreciate the question. As you can probably imagine, we are working through our plans for next year as we speak. We will give you an update certainly on that as we move along here. But just stepping back, I think the good news is we do not have any major construction projects that are planned for next year, you know, with the Howard Street and the Blue Ridge complete. There is nothing anywhere close to that scale that is on the horizon for us. And in 2026. So, you know, we will we will continue to maintain capital discipline focus, that capital on safety and reliability, and then look for projects that help drive strong returns and support the growth that we are looking to deliver. So it will be more of the same on that without the significant spend on those big projects. And then after that, you know, we we have we have been fairly consistent in our approach here you know, strategic and opportunistic use of cash flow, to to lean in when it is possible. On share repurchases and we have looked on an annual basis at the dividend and raised modestly for twenty plus years. So you will see more of the same from that. I think from our perspective.
Operator: Your next question comes from the line of David Vernon from Bernstein. Your line is open.
David Scott Vernon: Hey, good afternoon guys and thanks for fitting me in here. So, Steve, I wanted to ask you and maybe in the broader team a bigger picture question. Around the industrial logic on end to end railroad mergers. How do you view that And do you think it is possible to recreate those economics through partnership arrangements like you guys have been doing with the airline deals with BN and CN. What are the other platforms that is come out and obviously said, you know, they are not very interested in the merger and they are asking customers to object. I am trying to get a sense for kind of where you shake out on the topic of whether or not an in an end to end railroad merger is actually a good thing to pursue?
Steve Angel: So the way I think about it is and I was reading your entire question here, is that you know, we have the whole focus is is really performing, you know, well as a standalone company. And then we talked about some of these opportunities. We have talked about it several times through the course of this. That I think are very interesting to us We see a good bit of potential and provided the economics are favorable, we will continue to pursue that. So I think that is how we will drive shareholder value. Now if there is a better path to drive shareholder value, downstream will certainly pursue that. But it is kinda hard to really say standing here today how all this is gonna shake out because there is a lot of it that has not been determined yet. There is a very rigorous approval process that two parties are gonna have to go through. And, you know, when I read the language of of the evaluation criteria of an STB, it is it is pretty onerous onerous. So I think there is a lot I think it is really too early to address some of which you have got up there. But I can say right now, we can improve the performance of the base business, capitalize on the opportunities in front of us And if there is a better path to shareholder value that presents itself later on, we will 100 pursue that.
Operator: Your next question comes from the line of Bascome Majors from Susquehanna. Your line is open.
Bascome Majors: Steve, when you think about your philosophy on incentivizing your team, what do you think the right annual and long term incentive structures are? For senior management, the railroad industry and really CSX specifically? Thank you.
Steve Angel: I think if you go back to my earlier comments, obviously, profitability, operating margins, I mentioned that. I think if you I think growth is important to this industry and if you are able to get right kind of volume, the right kind of growth, you know, there is tremendous leverage down the P and L statements. I think those are metrics that matter. An industry like this, you always have to have safety. I I do not think you should ever take that for granted. I think calling that out and having, you know, a thousand or so people, at least from a management, level, compensated based on safety performance is a very important metric. Customer service has not been the hallmark of this industry historically. So therefore, having calling that out is a metric that is important I think, is good idea and that is what we have here today. I think long term because this is a capital intensive industry a return on capital metric makes the most sense to me. That is that is what I am familiar with, and and that is what, you know, we utilized in my past life And I used to say that, you know, return on capital is the truth serum. It kinda encapsulate it encapsulates all the decisions you have made in the past plus the decisions you are making going forward. And how well and what kind of returns you are earning on your capital base. So you know, I, for one, like return on capital for an industry like this.
Operator: This concludes today's question and answer session. As well this concludes today's conference call. You may now disconnect.